Operator: Good day, ladies and gentlemen, and welcome to the Q1 Allegheny Technologies earnings conference call. My name is Emma and I will be your operator for today. [Operator Instructions] I would now like to turn the call over to Dan Greenfield, Vice President of Investor Relations. Please proceed.
Dan Greenfield: Thank you. Good morning and welcome to the Allegheny Technologies conference call for the first quarter 2015. First, let me apologize for the delay. We did experience a connectivity issue, which has now been resolved. This conference call is being broadcast on our website at www.atimetals.com. Members of the media have been invited to listen to this call. Participating in the call today are Rich Harshman, Chairman, President and Chief Executive Officer; and Pat DeCourcy, Senior Vice President, Finance and Chief Financial Officer. All references to net income and earnings in this conference call mean net income and earnings from continuing operations attributable to ATI. If you have connected to this call via the internet, you should see slides on your screen. For those who have dialed in, slides are available on our website again at www.atimetals.com. After some initial comments we will ask for questions. During the question-and-answer session, please limit yourself to two questions to be considerate of others on the line. As always, we will make every attempt to reach everyone in the question-and-answer queue within the allotted conference call time. Please note that all forward-looking statements this morning are subject to various assumptions and caveats, as noted in the earnings release and on this slide. Actual results may differ materially. Here is Rich Harshman.
Richard Harshman: Thank you, Dan. Good morning to everyone on the call or listening on the internet. While we are not satisfied with the current level of profitability, sales and operating profit both showed improvement during the first quarter 2015. Net income in the first quarter was $10 million or $0.09 per share. Segment operating profit was $83.8 million or 7.4% of sales. The first quarter was impacted by $12.4 million of cost related to the HRPF startup and our Rowley PQ titanium sponge qualification. As a result of the hard work and dedication of ATI's Flat Rolled Products team, our Hot-Rolling and Processing Facility or HRPF has been successfully integrated into daily operations. The HRPF is producing products from 60-inch wide stainless sheet to 48-inch wide nickel-based alloys and specialty alloy sheet. The HRPF is also making excellent quality titanium and titanium alloy coils. We are also seeing significant operating improvement at our finishing facilities, as a result of the larger and flatter coils being produced on the HRPF. Our 48-inch wide nickel-based alloy sheet is improving our position in the aerospace, oil and gas and electrical energy markets. The use of our light gauge nickel alloys and specialty alloys is growing in the automotive market. We are improving our stainless sheet position with distributors and growing our position in the exhaust alloys market. At our Rowley titanium sponge facility, the Premium Quality or PQ product and process qualification is going well, and we expect to be qualified for all major titanium alloys products and melt methods by mid-year 2015. In fact, last Friday, we received final PQ approval for titanium 6-4 bar stock and forging billet using Rowley sponge melted at our Bakers, North Carolina melt shop. The production ramp up at the Rowley facility was initiated in the first quarter 2015 and is going well. We maintained a solid liquidity position with $238 million in cash on hand and no borrowings outstanding under our $400 million domestic line of credit at the end of the quarter. On March 24, ATI's debt was downgraded one notch for the stable outlook by S&P. Our objective is to continue to make the necessary steps to improve our debt metrics, and position ATI to return our debt rating to investment grade. Here is Pat DeCourcy, ATI's Chief Financial Officer, for a more detailed discussion of the 2015 first quarter financial results. Pat?
Patrick DeCourcy: Thanks, Rich. Turning to Slide 4. Looking at the first quarter results from continuing operation, sales were $1.126 billion. 79% of our sales in the first quarter were high-value products and international sales represented 40% of our first quarter sales. Net income was $10 million or $0.09 per share. Results improved over the fourth quarter 2015 with higher sales to key end-markets. Fourth quarter 2014 net income was $1.4 million or $0.01 per share, excluding an $18.5 million net of tax or $0.17 per share gain from postretirement benefit changes. Turning to Slide 5. High Performance Materials and Component segment sales were $542.8 million, an increase of over 8% compared to the previous quarter and 12% higher than the first quarter 2014. Segment operating profit was $75.9 million. Segment results continue to be negatively impacted by low operating rates at our Rowley titanium sponge facility. This is expected to continue well into 2015, until we complete the premium quality PQ process and ramp production to optimum capacity utilization. Flat Rolled Product segment sales were approximately $583 million, nearly 7% higher than the previous quarter and 16% higher than the first quarter 2014. Segment operating profit improved to $7.9 million or 1.4% of sales. Results were impacted by $11.8 million of HRPF startup charges and inventory charges related to the market based valuation of industrial titanium products. Slide 6 shows the impact of HRPF startup and qualification cost and Rowley PQ qualification process had on pre-tax income from continuing operations. Adjusted income before tax, excluding these items, was $33 million in the first quarter and adjusted EBITDA was $105.3 million. Now, I will turn the call back over to Rich.
Richard Harshman: Thank you, Pat. The aerospace and defense market continues to be our largest end-market, with first quarter 2015 sales of $408 million. This represented 36% of ATI's total sales, and breaks down as follows: 18% jet engine, 12% airframe and 6% defense. We expect that the commercial aerospace market will be a significant driver of our profitable growth over the next five years, as production rates ramp for the next generation engine programs and record backlogs that airframe OEMs have delivered. First quarter 2015 sales for the aerospace market increased 14% compared to the fourth quarter 2014. We saw double-digit demand growth from both the jet engine and airframe customers of 14% and 22%, respectively. Organic growth of our specialty materials mill products led the way. Sales of our nickel-based alloys and specialty alloys increased 15%. Sales of our titanium alloys increased 16% with a good mix of value-added products. And sales of our precisions forgings, castings and components increased 5%. With our focus on creating value through relentless innovation, we have secured important strategic positions on next generation airframes and jet engines, with our technology, diversified products and integrated manufacturing capabilities. In addition, we are well-positioned and continue to work directly with the OEMs on the development of future generation technologies and products. Turning to Slide 8. Shown is the most recent market forecast of commercial aircraft build rates. The black line on this chart represents the number of next generation airplanes in the build rate forecast. This is the good proxy for ATI's potential aerospace market growth trajectory, since we have secured increased positions on many of the next generation airplanes and the engines that power them. As you can see, the largest growth is expected in 2016, 2017 and 2018. The market forecast is from Airline Monitor, which opens a debate on the 2019 estimates. Announced OEM build rate objectives indicate 2019 to be at least flat with 2018, rather than the decline showing on the Airline Monitor forecast. Slide 9 shows the reported OEM firm order book of the major engine programs, which as of February 28, 2015, stands at over 21,700 large jet engines. The first five lines show the backlog for engines that power single aisle airplanes. Moving to Slide 10. The oil and gas/chemical process industry market is our second largest end-market. During the first quarter 2015, sales to this market were $210 million and represented 19% of ATI's sales; 12% oil and gas and 7% chemical process industry or CPI. First quarter 2015 sales to the oil and gas/CPI market increased 3% compared to the fourth quarter 2014. Our diversification is critically important to how we server the oil and gas and chemical process industry markets. For example, our Flat Rolled Product segment strong sales of high-value nickel-based alloy and specialty alloy products for a large pipeline project flowlines and enhanced recovery applications more than offset a 17% decline in High Performance Materials and Component segment sales for exploration and other down-hole applications. Because of add-on orders, we now expect to have nickel plate shipments for the pipeline project extend through July of 2015. Enhanced oil recovery or EOR is favored in many parts of the world to produce additional oil from existing wells. EOR technologies use our nickel-based alloy and specialty alloy Flat Rolled Products. Demand from this market application continues to be good. Another of ATI's strengths is our ability to provide new products enabled by our new capabilities and our focus on relentless innovation. We continue to expand our product offerings for the oil and gas/chemical process industry market. The HRPF gives us the capability to offer larger and flatter coils of nickel-based alloys, duplex alloys and other specialty alloys and stainless alloys, so we can improve our position. We are actively pursuing innovative applications of our ATI flowform products, made from our nickel-based alloys and specialty alloys. So far, early trials are going well and the flowform pipe and tube products have attracted significant interest from oil and gas equipment producers, due to the value proposition of this manufacturing process. Further helping to diversify this market is our participation in the chemical process industry. At this time, no planned chemical projects in the U.S. have been reported to be cancelled. In fact, new large North American LNG projects are moving forward and many other large chemical projects are on the board. We are adding the automotive market to our list of key growth markets. For ATI the automotive market is differentiated, global, and our focus is on applications that have high technical barriers to entry. Evolving regulatory requirements and consumer demands impacting the automotive market are driving a secular change that benefits ATI and the products we offer. Today's cars present more challenging requirements. Government agencies such as the EPA and consumers require better fuel economy and reduced emissions. Drivers want performance, comfort and longer warranties. To meet these objectives, car manufacturers continue to develop smaller and lighter engines that use turbochargers to boost performance. This creates an engine environment that demands specialty materials, capable of operating in high pressure, high-temperature environments in such applications as turbochargers, gaskets and connectors. This secular shift is somewhat similar to the trend we see in jet engines. ATI is well-positioned to transfer aerospace technology to the automotive market. High pressure, high-temperature engines, often require aerospace alloys, such as nickel-based superalloys and specialty alloys, including ATI's 718 and ATI's 625 nickel alloys, as well as other specialty alloys including recently developed ATI proprietary alloys. With the HRPF we now have the capability to produce these products more efficiently in larger coils with tighter and more consistent gauge control. Our customers are global and we can better server them through our aligned and integrated global supply chain through our facilities in the U.S., Europe and Asia. The HRPF also enables our growth in non-nickel bearing or ferritic stainless alloys used in automotive exhaust systems. Auto exhaust system demand is growing, due to the increasing build rates in North America, from both traditional U.S. based car manufacturers and European and Asian based car manufacturers with new assembly plants in North America. We are near the end of our extraordinary capital expenditure cycle that has transformed and modernized ATI. We have built the foundation for creating long-term value through relentless innovation. We have secured our position to grow faster than the market during this once in a lifetime aerospace market transition from legacy to next generation airplanes and jet engines. And with the largest capital investment in ATI's history, the HRPF, our Flat Rolled Product segment is better positioned to enable profitable growth across business cycles. Over the last several years we have completed major strategic investments that are designed to meet the evolving and growing needs of our customers, and position ATI for sustainable long-term profitable growth. Slide 12 provides a summary of these major investments. Our Rowley PQ quality sponge facility moves ATI to an integrated titanium supplier position. From sponge through melt, forging, casting, machining and cold rolling, to machine forgings and investment castings. We believe that these integrated capabilities provide a competitive advantage to be a strategic supplier to aerospace OEMs, both airframe and jet engine. Our Plasma Arc Melt or PAM furnaces are often the preferred process for many premium quality titanium products, such as jet engine rotating parts and medical applications. PAM also provides the capability to melt diversified raw material inputs, including sponge, solids and turnings. ATI is currently the only qualified rotating PAM melter in our industry. Our unique 10,000 ton open die press forge and large radial GSM forge expands our capability to produce fine-grained forging billet, removing a design barrier for next generation nickel-based superalloys for jet engines. The specialty plate upgrade gives ATI the capability to manufacture superior titanium alloy plate for the aerospace industry. It also provides the capability to make superior nickel-based alloy plate for applications in the oil and gas industry, such as the major pipeline project that is driving our oil and gas performance during the first half of 2015. And as we have discussed, our HRPF enables the transformation and reengineering of ATI's Flat Rolled Products. As expected, the HRPF is proving to be a game-changing investment, designed to significantly enhance ATI's Flat Rolled Product capabilities and reduce manufacturing cycle times for all of our Flat Rolled Products. The HRPF investment enables us to reengineer our Flat Rolled Products business with a renewed focus on shorter manufacturing cycle times, customer responsiveness and an improved and more competitive cost structure. Now that the HRPF is integrated into daily operations, we turned to the successful completion of the equipment final acceptance test and continuous improvement in quality, operating efficiency and delivery performance. We have just begun to realize the benefits of our new capabilities. We see them everyday. Our team is pursuing many opportunities to reduce production and overhead cost through process simplification and standardization. In order to adapt to the slow growth global economy and the accelerating competitive environment, we must continue to offer our customers the highest possible quality product on-time with short and flexible manufacturing lead times. Enabled by the HRPF and previous investments made in our specialty plate facility and our flat rolled melt shops, ATI Flat Rolled Products has a global leadership position in many of our high-value products. That leadership position is being extended, as we pursue product innovation that extends our reach to new customers, products and applications. While underlying demand is reasonably good, the standard stainless business has begun 2015 with a familiar scenario; falling raw material prices, for example, see the chart on the bottom right of the slide; lead to falling surcharges; plus once again, we are seeing revised and uncertain global GDP growth projections. All of this causes our customers to wait. They de-stock their inventory and buy only when necessary, another reason why shorter manufacturing cycle times enabled by the HRPF represent a competitive advantage for ATI. We are also seeing a surge in imports. For example, imports of cold rolled stainless sheet and strip from China increased 115% in 2014 compared to 2013, and the surge continues. According to the latest data available, imports of cold rolled stainless sheet and strip from China increased over 350% in January 2015 compared to January 2014, a familiar story. The EU initiates trade cases against China, and the U.S. market becomes a target for Chinese producers to dump product. While ATI continues to be active to promote fair and free trade, we also recognize we must have a cost structure that generates profit from our stainless business throughout the cycles, and we are taking actions to achieve that goal. This requires more than just the investment in HRPF. Employment costs represent a significant share of our non-metal operating cost. We must have an overhead and employment cost structure that is more competitive with others in our industry. This is what we mean when we say that our strategy is to use the capabilities of the HRPF to transform and reengineer our Flat Rolled Products business to be profitable throughout business cycles. This strategy will continue to unfold, as we move through 2015. In summary, long-term drivers of our secular growth markets remain intact. The markets we server are inherently cyclical. We are currently in unusual time when some of our key markets are very volatile. Our strategy is to offset or limit the resolving negative impact from this volatility with the benefits of ATI's diversified product mix and end-market focus. A good example of our diversified product mix is the solutions we provide to enable secular trend in the automotive market. As we discussed, we are adding the automotive market to our list of key growth markets, due to a growing trend and our ability to transfer our aerospace technology to the automotive market. Our extraordinary capital expenditure cycle is nearly behind us. The HRPF has been integrated into daily operations. Our Flat Rolled Products team has done a great job of completing, commissioning and integrating the HRPF. As we move through 2015, our focus will be on improving the operating efficiency of the HRPF and implementing a more competitive cost structure in this business. We continue to expect fourth quarter 2015 operating profit to benefit from the HRPF at an annualized rate of approximately $150 million compared to 2014, which includes the elimination of startup costs. Our PQ titanium process and product qualification is expected to be completed by mid-year. Timing of the titanium sponge qualification is well-aligned with the growth and demand from the aerospace market. We expect to see demand for our nickel-based alloy and titanium alloy melt products, forgings and titanium investment castings to grow throughout 2015, and over the next several years due to strong demand from airframe and jet engine OEMs. As always, we face numerous market challenges and we must execute. Our challenge and our opportunity are to execute our business strategies and to turn the enabling technology and capabilities of the HRPF and Rowley investments into value creators for our shareholders and customers. Our strategy includes being focused on actions to align and integrate ATI's specialty materials businesses, enhance ATI's competitive position and continuously improve the cost structure and operating efficiencies of our businesses to achieve long-term sustainable profitability growth. Operator, may we have the first question please.
Operator: [Operator Instructions] And that comes from the line of Steve Levenson, Stifel Nicolaus.
Steve Levenson: Is the premium qualification for the 6-4 bar stock in billet enough to start the ramp in Rowley production? And if so, is that material that will be used internally, sold to customers or both?
Richard Harshman: It is enough and we have already begun the rate ramp in anticipation that we're very confident that the vast majority of the titanium alloy products that are focused on PQ will be qualified by mid-year of this year. So we're not waiting to begin the ramp up. We're doing that. And we will be using the sponge. It's not our intention of selling the sponge externally.
Steve Levenson: And on the HRPF, I know your comments, so just that oil and gas project is going to help the second quarter, but what's next? How does the order book look, now that you can make these new sizes and gauges?
Richard Harshman: Well, I mean, that's the largest oil and gas project we've ever had. They don't come around often. There are projects out there that follow on that, that will probably be more later in the year. But I think that the capabilities of the HRPF are more than just the oil and gas market, it's all the markets that we serve and we intend to continue to realize the benefits of the HRPF. Quite frankly, every month we've been operating so far in 2015, the capabilities and the operating efficiencies continue to improve. And so we'll be focused on opportunities that are out there in the CPI market, certainly the automotive market is there. Some of the consumer durable markets other than automotive are reasonably strong. The housing market is actually not bad, for example. So that's a diversified market approach for all of our Flat Rolled Products. And we're confident that the market demand will be there throughout the year. We need to continue to focus on improving our efficiency and addressing some of the structural cost issues that we have in that business.
Operator: And your next question comes from the line of Gautam Khanna, Cowen.
Gautam Khanna: I was wondering the jet engine sales you've shown have really picked up nicely on a sequential basis. And I was hoping you could maybe elaborate on whether you're seeing any lingering de-stocking? And if you've been picking up market share in it, so how can you tell? And then I have a follow-up.
Richard Harshman: Well, first of all, I think there is -- I mean there are a lot of drivers in the aerospace market, the commercial aerospace market. One on the engine side is obviously spares. And I think when you look at the spares inventory, the stocking, and my view is over the demand is growing from that market. I think GE even commented on that in their quarterly earnings call last week. So that's a positive element. The jet engine build rate is building and it really depends on the mill product side. It's basically targeted at all the engine programs, whether they be legacy programs or whether they be new engine programs for the most part. There are some alloy specifics that are used more in the next generation airplane like powder alloys and Rene 65 and things like that. So that growth trajectory is there, and we talked about that on one of the slides. So the mill products I think is really pretty much across the board. On the part side and the component side, it really depends upon what part you have and what engine program it's on. I mean, for example, there are some engine programs that are in support of the A380, for example, which is not necessarily in a growth mode. There may be some continuing inventory de-stocking going on there, because of the commercial realities of the A380. The other next generation engine platforms are 787 and A350 extra-wide body. Those are in a continual ramp rate mode. So I think there we're not seeing any kind of inventory correction going on there. We're seeing a pull-through demand that's representative of what the build rate is. So it's an easy question to ask, but a more complicated answer unfortunately, because of the drivers behind it. But I think on a net basis, we're seeing growth. We expect to continue to see growth as we move through 2015, as we head in 2016, I think you'll see the growth from the LEAP engine begin to show some significant opportunities for ATI. How? As far as your question of how do we know whether we're gaining share or losing share or whatever, it's the reality of the competitive process and the negotiation and awarding of long-term agreements. And many of those who were awarded in 2014 and early 2015, we've talked about those in the past, and I'm not going to get into specifics, but we know what our share was under the expiring contracts. We know what our share is. And I'm confident when I say, we've gained share. In some cases, for example, on the LEAP, our position in terms of parts and components on the CFM, the legacy program, were minimal. And our share wins on the LEAP program were substantial, on a part basis. So it's a new engine platform. Is that a share gain? Yes. That's a share gain.
Gautam Khanna: And one follow-up. I just wanted to ask, when you do in fact get PQ qualified across the board, how should we think about the utilization ramp at Rowley? And what that confers to the P&L?
Richard Harshman: I think that our expectation is by the end of the year we'll basically be ramped up to essentially the practical capacity of that facility. What happens when that happens is that, you've been to that facility, so you see and understand the scale size and the fact that it's a process oriented manufacturing process. So to a large extent, the cost structure is somewhat fixed. I mean it's not completely fixed, but it's somewhat fixed until you add crews. And we're adding crews now, as we ramp up. So that becomes the variable component, but a lot of the other costs are fixed. So the size of the cake, the improvement of the yield of the cake, the volume of production drives the per unit cost lower. And that helps obviously on the cost side of a cost per pound of sponge, which will gradually eliminate the disadvantage that we've been talking about for a couple of year, where the cost of producing sponge in Rowley is higher than other raw material sources that we need to make our titanium alloy. So with the higher volume you drive down the cost and you narrow that cost disadvantage. And I think that then it becomes -- there are two aspects. So one is, is the qualification and startup cost gradually get reduced and eliminated, as we move through 2015. And I would expect in 2016 those costs are gone. And then, as the sponge cost becomes lower and we begin to use that and melt that, you'll see the benefits of that largely in 2016, as it flows through P&L, as we produce product using that sponge. Does that help?
Gautam Khanna: Yes, it does.
Operator: And your next question comes from the line of Richard Safran, Buckingham Research.
Richard Safran: I wanted to ask you this Rowley question in a slightly different way. Given that you're coming so close to PQ certification, I want to see if maybe, if you can give out some numbers. So it's kind of like a bit of a multipart here. Could you maybe discuss at Rowley, where capacity utilization is now? Where you're expected to be by yearend? And also, where you think it will be at the point when you achieve optimum capacity utilization? And if you could, maybe comment on, how much product do you intend to produce at this facility?
Richard Harshman: We're currently operating at about 65% at capacity. And when we say capacity, we're talking really about practical capacity, given the nature of the process. You have maintenance, downtime, and things like that. I would expect that by the end of the year, as we head into 2016 we'll be at the 85% to 90% at capacity, which is essentially operating at capacity. I mean, could we get it to 92% or 93%? Yes, maybe. But 85% or 90% in a process like that is essentially operating at capacity with some ability to flex up if need to be. Based upon how the facility is structured today, we're looking at somewhere in the range of 24 million to 26 million pounds a year of sponge production. And as you know, while we're not contemplating this, depending upon and when you build a facility like this, you're building it for the long haul. And as the markets continue to evolve and grow over the long-term, which I believe titanium will, we have the capability of adding additional furnace sets, if the market supports that. And have the capability of getting to about 44 million to 45 million pounds, if needed. So I think our strategy of building Rowley all along was that it would not provide 100% of our sponge requirements that we need. But it was a very important part of the strategy, to be able to responsibly with the evolution of where the market was and where the customers were driving contractual arrangements, to be firm fixed price for long periods of time. That the only way you could really responsibly do that was to produce a portion of the sponge on your own, where you had tighter control over the cost structure, because you could really negotiate those kind of lengths of supply agreements with sponge producers that are qualified to make the kind of sponge we need. By the way, all of whom are also our competitors, right. So think about that for a moment. And you also really go long on a scrap position, either from unavailability or the ability to reach a long-term supply agreement with firm prices on scrap. So all that really that plus the fact that the OEMs where really driving more of an integrated supply approach from a risk management standpoint is why we've built Rowley.
Richard Safran: Now, just one other quick one here. When do you transition entirely to the HRPF? When do the older hot strip mills get shutdown? And just if you could, how much of the $100 million in cost reduction is coming from the HRPF?
Richard Harshman: $100 million. Yes. Well, we have idled our Houston PA rolling facility in April, which we use for certain grades and certain products as a breakdown mill. The 70-year old hot strip mill is essentially being warm-idled, meaning that in reality we're not essentially all, expect for one grade that we're still working on, that is a more complicated issue is all being rolled on the HRPF. And we're keeping the hot strip mill warm until we really gain confidence that it can handle the one particular grade that I'm referring to. But what that means is that the costs are, it's really just one crew, and if we do run it, we run it on a campaign basis. So it's not a significant cost driver. So that really doesn't bother me from the standpoint of is it going to impact our cost reduction objectives in 2015 with the HRPF. And I think that of the $100 million in gross cost reductions, about 50% of that is really resulting from the HRPF. But most of that in the back half and the vast majority of that just from a planning and execution standpoint was expected more in the last three to four months of the year, as opposed to throughout the year. Now, remember when we said the $150 million, there is three real components to that. One is you eliminate all the qualification costs and the startup costs. So that goes away. So that's a component of the $150 million annualized run rate. The second is the pure cost reduction. And the third is the advantage of being able to sell products at a margin that we could produce from the existing hot strip mill. So all of that and the incremental volumes and the impact of absorbing, having a more efficient cost absorption, because you have higher volume, because now you're able to sell products that you weren't able to sell before. All of that factors are components of the $150 million annualized comment that I made earlier.
Operator: And your next question comes from the line of Michael Gambardella, JPMorgan.
Michael Gambardella: I've a question, Rich, just on what you were saying about the $150 million cost improvement or the operating profit improvement from the HRPF. How much are the startup cost that you are eliminating from that?
Richard Harshman: So on an annualized basis it was about $30 million.
Michael Gambardella: So in essence are you then saying that the real cost benefits or the profit improvement benefits of having the HRPF are a $120 million a year?
Richard Harshman: Yes. That's pretty good. Don't you think? And that's what we've identified, right. And that's the first year of operation. So you need to come out and see that facility, Mike, and get a real appreciation as to what it is and what it does.
Michael Gambardella: But the net -- I'm just trying to get, because when you talk about like $100 million of gross cost cutting for the company, I'm just trying to get like what the net numbers are. So the $150 million for the HRPF, the net number is really like $120 million. But what was the initial and what was the investment?
Richard Harshman: On an annualized basis.
Patrick DeCourcy: That's correct.
Michael Gambardella: Right.
Richard Harshman: All right. On an annualized basis. Not for the whole year of 2015?
Michael Gambardella: Right. On an annualized basis, right, $120 million. And what was the capital investment for that, $1 billion what?
Richard Harshman: Yes, $1.2 billion.
Michael Gambardella: So does the $120 million still meet your initial forecast for return on that investment?
Richard Harshman: In the first year of operation, yes; over time, no. I mean, over time the combination of cost reductions, efficiencies, improved yield, lower quality cost and growth opportunities is about $250 million a year. So that was never in the first year. Anybody who would put together an ROI for a project like that, saying they can deliver that in year one, is better than me.
Michael Gambardella: Are you still expecting $250 million ultimately?
Richard Harshman: And actually, no. Actually no. I'm expecting more. Because I think that we've identified a line of sight to that. But I think that as I've told the team for the last three-plus-years that, and they're proving it. They're proving it today. With a real start up of that facility in January, as they run it in April, the dramatic differences between January and April are incredible. And I think that they're going to continue on that path and '16 will be better than '15 and '17 will be better than '16. They are learning capabilities of this facility that quite frankly weren't even thought of in the design concept. So yes, I'm very optimistic that this investment over time will generate significant value for our shareholders.
Michael Gambardella: And the $100 million gross cost cutting, what do you think the net will be this year?
Richard Harshman: Well, we always target about twice the rate of inflation. So I mean some times it's a little bit more than that, some times it's a little bit less, depending upon what we're able to do and what the inflationary pressures are, and that excludes raw material costs, by the way, so that's all of our costs other than that are non-metallic. And the target is basically twice the rate of inflation, which is why we talk about gross cost reductions and the net just divided by two and you have a reasonable number.
Michael Gambardella: So what would the net be in dollars then versus the hundred in gross?
Richard Harshman: Well, if it's a $100 million, the net would be $50 million. I think that's what half of a $100 million is.
Michael Gambardella: So you're just saying net of the raw materials?
Richard Harshman: No. As I said, $100 million is really excluding the impact of raw material cost inflation or deflation. The reason why we do that is because if raw material costs go down, we don't want to take credit for that. We haven't had any impact on that. Now, to the extent that there is a yield improvement, we'll calculate a cost reduction on a yield improvement based off of the current cost of the raw materials, and that will be reported as a cost reduction. And we only count those cost reductions, as you know, Mike, I think you followed this company for a long time, we only count the cost reductions for 12 consecutive months, and then they don't go away. I mean, in theory they become cost avoidance, had you not done that particular activity. But they're identified on a project by project basis. They're audited. They're by Pat and his financial team. They're validated that it's a real cost reduction and not a cost shift from one area of the operation to another. And we only count them for 12 months and then the project kind of drops off and we identify new projects.
Michael Gambardella: But I don't know, if you have a gross cost reduction estimate of $100 million, but your net is $50 million, but your raw material costs I thought are going down?
Richard Harshman: Well, so are the selling prices going down. So anyway, I don't know how else to help you Mike, so do you have any other questions?
Operator: Your next question comes from the line of Timna Tanners, Bank of America Merrill Lynch.
Timna Tanners: I'm in shock that we've got this far on the call and no questions on stainless. So that means you're not just a stainless company. So I'm shocked.
Richard Harshman: Well, Mike was kind of asking about stainless, so.
Timna Tanners: Well, your luck is over. So I wanted to dive in a little bit more. Are you able to call out for us the impact in the quarter of the nickel price weakness? Is that something you're able to delineate?
Richard Harshman: No, I mean falling nickel prices in the short-term until they find an equilibrium are not necessarily helpful. I mean, especially when you don't have a LIFO offset, which we don't. So I think that the real issue is more on the longer cycle products. Not so much on stainless sheet. It's on the longer cycle products like unless we hedge it, and in some cases like the plate project we did, because the price was known and we worked with the customer in order to do that. But I think the impact in the quarter to put an approximate number on it because of the longer cycle products in Flat-Rolled is probably about $15 million of a negative impact. Nickel has basically troughed, it bounced off as you know a price below $6, and has been more stabilizing in the $6.50 to $6.75 range here more recently. I think the other impact is when that happens, customers who are sitting there today because of the transparency of the surcharge and they know that if they wait until May to buy the product, then the surcharge goes down by $0.18 a pound for stainless. So they sit there and they wait unless they absolutely need the product, and that was the comments I made to in my comments at the beginning. And that does have an impact on volume. It has an impact on -- we throttle back melt shops obviously, so that has an impact on absorption that does carry through for a quarter until that stabilizes. So I think those are some of the headwinds we face really heading into the second quarter.
Timna Tanners: So $15 million would include the hit from volume and from price?
Richard Harshman: Yes.
Timna Tanners: Or just the price?
Richard Harshman: Yes, the first quarter volume really wasn't negatively impacted on the volume side. The volume was actually pretty good. Where the volume has dropped off is with the orders dropping off in April, because of customers waiting until May. You don't make up that volume unless the demand is there to increase the volume requirements in May and June, and quite frankly at this point while it's early we're not necessarily seeing that and part of that could be because of the material available from the Chinese that's in the market.
Timna Tanners: I was going to ask about that, but just before I do, just to clarify on a LIFO hit, so you didn't have a LIFO offset because other prices for your products are going up even if nickel prices have been weak?
Richard Harshman: No, it's not quite that simple. I'll let Pat talk about LIFO because of the kind of unique situation we're in on a consolidated basis.
Patrick DeCourcy: We're in a net debt position, Timna, so we have an NRV reserve. So there was no impact to LIFO in Q1.
Richard Harshman: So even if we calculate a LIFO reserve, which we do, and as we move through the year if prices remain where they are, we're required to calculate what our LIFO reserve impact would be for 2015. If it's a LIFO pick up, which it could be based off of where raw material costs are today, because we're in a consolidated net debit position, you go through this net realizable value calculation, lower cost of market basic calculation, and that really requires us to offset any LIFO benefit with an NRV reserve, which we've been doing for the last couple of years. So you don't get the benefit of LIFO reserve, it gets offset by the NRV reserve. And then when it flips the other way, for example, in '16 as you have a provision that you have to start booking; before you book that provision, it gets offset by the reversal of any NRV until you have a P&L effect. So that's impacted us both in '13 and '14.
Timna Tanners: And then the only other question I really want to ask you is, to the extent that you touched on it already and knowing that you're not just a stainless company, but looking at the commodity stainless side, call it all the imports have really jumped over the last couple of quarters, and the Europeans are blocking or just filed a case, I think succeeded in their case against Asian imports of stainless. So how do you see the risk of those showing up here? And how do you think about responding to that?
Richard Harshman: Well, they're here. I mean, they are showing up here. I mentioned some statistics that are available that I think it's having a bigger impact on the market right now from a pricing standpoint than our domestic competitors are quite frankly. I mean, some might make comments about our domestic stainless competitors in terms of their impact on the market. I mean, quite frankly, I think that the current impact is more from imports from China. And it's not just China, it's also Korea and Vietnam to an extent, but China is the real big. Now, part of it could be because -- the surge in 2015 could be because of the West Coast port strike that had a lot of material kind of bottled up and not able to be unloaded in the fourth quarter last year. And therefore, when that strike ended, now the material is coming onshore, so it's a combination of maybe three or four months that was sitting there that hit. So what we're doing as you know, we're fairly -- not fairly, we are appropriately aggressive and active with in Washington on unfair trade issues, and we think that this is an unfair trade issue. So we let our voices known SSINA, which is the industry association, which ATI has a significant leadership position in is working with the firm that works with SSINA to look at whether or not there is factual support for to bring a trade case. In the U.S. process trade cases are appeared to be a little bit longer than they are in Europe or in other countries of the world, but that is being, data is being collected and has been collected for a little while as we speak and we'll see what happens there.
Operator: And I would now like to turn the call over to Richard Harshman for closing remarks. End of Q&A
Richard Harshman: Thank you very much. And we appreciate everybody's participating in today's call, and continue to appreciate your interest in ATI and your support. Dan.
Dan Greenfield: Thank you, Rich, and thanks to all of our listeners for joining us today. That concludes our conference call.